Operator: Thank you for standing by, and welcome to Lennar's Fourth Quarter Earnings Conference Call. [Operator Instructions] Today's call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the call over to Mr. David Collins for the reading of the forward-looking statement.
David M. Collins: Today's conference call may include forward-looking statements that are subject to risks and uncertainties relating to Lennar's future business and financial performance. These forward-looking statements may include statements regarding Lennar's business, financial condition, results of operations, cash flows, strategies and prospects. Forward-looking statements represent only Lennar's estimates on the date of this conference call and are not intended to give any assurance as to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could cause Lennar's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described under the caption Risk Factors contained in Lennar's annual report on Form 10-K most recently filed with the SEC. Please note that Lennar assumes no obligation to update any forward-looking statements.
Operator: I would like to introduce your host, Mr. Stuart Miller, CEO. Sir, you may begin.
Stuart A. Miller: Good morning, and thank you, everyone, for joining us for our fourth quarter and year-end 2011 update. We're very pleased to detail our results for you this morning. As always, I'm joined this morning by Bruce Gross, our Chief Financial Officer; Diane Bessette, our Vice President and Treasurer; and David Collins, our Controller. Additionally, Rick Beckwitt, our President; Jon Jaffe, our Chief Operating Officer; and Jeff Krasnoff, Chief Executive Officer of our Rialto segment are here to participate as well, as we have all just been together and completed our year-end review of our -- and our 2012 look-ahead with our regional and division presidents here in Miami. I'm going to begin this morning with some brief opening remarks about the state of the current housing market in general. Rick and Jon will comment on aspects of Lennar's homebuilding operation. Jeff will update performance in our Rialto segment. And finally, Bruce will provide detail on our quarter and year-end numbers. After Bruce, of course we'll open the phone lines to your questions. And we request, as always, that in our Q&A period that everyone please limit to just one question and one follow-up so that we can be as fair as possible to everybody who'd like to ask. So 2 days ago on CNBC, Jamie Dimon of JPMorgan highlighted that he believed that housing was at or nearing the bottom of this downturn, and I believe he's correct. I previewed in our third quarter conference call 3 months ago that we were beginning to see evidence of a genuine turn in residential and the residential housing market, and that this could be a harbinger of market stability. Last quarter, I was not ready to conclude that a real trend had been identified. This quarter, I'm feeling somewhat more confident that the market is, in fact, changing. As I noted earlier, we have just completed our 2-day review of all of operating divisions across the country. We've looked back at our 2011 results, and we've looked ahead to 2012 expectations. The consistent message is that the general environment is different this year than it has been in the past. There are discernible fundamental shifts appearing in the home market, and there are empirical compliments that are to date confirmatory that the market is showing signs of stability. Home prices and volumes have been falling for 7 years now. Prices are down some 20% to 50% depending on the market, and new home starts and sales are at post-depression lows. Concurrently, interest rates are at historic lows. According to HUD, homes are more affordable to purchase today than they've been since 1971 as a result of these falling home prices and low interest rates. Today's consumers are beginning to realize that housing represents an undeniable value proposition. And accordingly, demand is growing and we are seeing it in the field at most of our communities. Now demand is constrained by the mortgage qualification standards and processes that define today's mortgage market, and that has been overcorrected by the severity of the downturn. But the demand is growing and looking to find some loosening of those credit standards. Today's consumer is looking at the home purchase differently than in the past -- in past years. The home purchase is no longer the place to invest savings in order to ride a wave of price increases. Instead, today's buyers are looking for real value, and they're finding real value in for-sale housing. First, the fully loaded cost of ownership is lower in most desirable markets than comparable rental rates. While this might not show up in national statistics, in local competitive markets, principal, interest, taxes, insurance, community association costs and lawn care are together lower than the competitive rental market. Today, for-sale housing represents an excellent value proposition. Secondly, they are looking for an alternative to the rental market. Rental prices are high and they've been moving up, and they reprice every 12 months. Today's consumers are looking for a domicile that provides living cost stability, as well as stable and a safe place to raise a family. They are looking to reconsider the rental lifestyle where rental rates have been rising and are likely to continue to rise for the foreseeable future. In our fourth quarter, we've seen real evidence of these changes in the field. We are experiencing more traffic in our welcome home centers, and customers are actively discussing their desire to find a way to purchase and avoid the rental market and its repricing. Perhaps most importantly, we've seen consistent sales pace at stabilized prices throughout our fourth quarter and even through December, during the season that is generally the most difficult time of the year. Our steady traffic and sales rate indicate stronger demand trend than prior years when sales just dropped off at this time of the year. New orders are up 20% over last year, and our backlog is up 35% over last year. These improved results come with prices and margins that are consistent with or marginally better than our current deliveries, which indicates that we are not and have not been reaching for volume. It is likely that the national members will not reflect these results because they will incorporate in their data many tertiary markets that did not affect our competitive landscape. But the more desirable housing markets are experiencing a fundamental change as foreclosure inventories have been absorbed in these markets and the consumer recognizes the value proposition. This is the consistent message from our divisions, reflecting their interactions in the field. Now let me give you a few brief comments on our fourth quarter and year end. It's well documented that 2011 has been another difficult year for the housing market. Prices continued to decline across the country by another 4-plus percent, while the volume of new homes sold in the U.S. has remained at historically low levels. Against this backdrop, we've performed consistently on all fronts. All of our business segments, Homebuilding, Financial Services and Rialto, have remained profitable in the quarter and for the year, producing $0.16 for the quarter and $0.48 for the year. Most importantly, the basic metrics that define our business have been carefully managed through this difficult year. Margins have remained consistently high and we expect will remain in the 19.5% to 21.5% range in 2012. SG&A has been improving through the year and was at 13.8% for the quarter. Average sales price has been steady at about $243,000, while incentives have been declining. Alongside of our Homebuilding activities, our Financial Services group has also been holding steady and positioning for recovery while remaining profitable as well. Our Rialto segment has also produced consistent profit as it's grown through a turbulent year. While Rialto earnings have been clouded by mark-to-market adjustments relative to our PPIP securities program, with these adjustments stripped away, we are starting to see the real earnings power of the Rialto machine. Rialto completed its money raised for its first fund in Q4 and ended with a $700 million pool of capital to invest in strategic assets to drive its future. To date, about 70% of that fund is invested and the pipeline for new investments is strong. As we look ahead, Rialto should continue to be a solid earnings contributor for Lennar and will begin to return cash to corporate as it is now investing self-generated funds. All in all, 2011 has been an excellent year for Lennar as we have navigated the turbulent waters of the housing market and the U.S. economy, seeking a bottom and grasping for stability. Our strategy has been to refine and position our company for recovery and remain marginally profitable while we stay patient, and we've done exactly that. All of the segments of our company are extremely well positioned as you will now hear from our operating team. As I look ahead to 2012, I am cautiously optimistic that we are seeing a real bottom form and that we will begin to see signs of recovery. National statistics and news will give us mixed signals as we move through the year, as they represent a compendium of all of the best and the worst markets around the country. But I feel that stabilization and recovery will emanate from the most desirable markets and spread slowly outward over years. Lennar is positioned with a strong balance sheet in the right market, with an exceptional management team and a well-constructed strategy to perform solidly as market conditions begin to improve. With that, let me turn over to Rick Beckwitt.
Richard Beckwitt: Thanks, Stuart. During the fourth quarter, we continue to focus on acquiring or auctioning new homesites that would have a positive impact on our bottom line. Our primary focus was pursuing distressed opportunities, and we spent a lot of time in one-on-one negotiations with banks and other extremely motivated sellers. This quarter, we purchased approximately 3,800 homesites totaling approximately $162 million, and we spent approximately $56 million on land development. In addition, we auctioned almost 1,100 homesites. Our new acquisitions were located in markets where we saw the greatest market strength and value proposition. Our focus within these markets has been on highly desirable communities located in sub-markets where people really want to live and where foreclosed homes have already been absorbed. Whether the hook is schools, spectacular amenities, commute time, each one of these new deals has been hand selected with a very specific target buyer and product in mind. In short, we invested in A-plus assets and stayed away from the fringe or tertiary locations where price was the only driver and where foreclosure activity remains. We also have insisted that we have a cost-effective home design in hand before we buy any land, which has allowed us to streamline the time period between when we buy land and when we're open for sale. It's been a true cash-on-cash focus. From a geographic standpoint, during the fourth quarter approximately 33% of our new acquisitions were located in Florida, 19% in the Carolinas, 14% in Maryland and Virginia, 11% in California, 10% in Texas, with the remaining 13% spread throughout our other markets. As in prior quarters, the lion's share of our new land deals were sourced outside of a competitive bid environment. We've stayed away from the typical broker-to-bid type deals and rolled up our sleeves and directly sourced of the majority of our land transactions. In many of our acquisitions, with the help of our Rialto operation, we have purchased debt at a deep discount and subsequently foreclosed on real estate at an incredibly attractive land basis. We have also backed into land through the purchase of community development district farms, tax certificates, deed in lieus and short sale arrangements. In fact, some of the more complicated and unique transactions have created the most upside earnings potential. Regardless of how each deal was sourced, all of our new deals in the quarter were underwritten with extremely conservative assumptions. As in the past, they have assumed no price appreciation and in many cases, price declines and slower absorption basis. In all of these deals, we have required gross margins to exceed 20% and IRRs to exceed 20%. To date, we've been extremely pleased with the performance of our new land acquisitions. During the fourth quarter, approximately 41% of our deliveries came from communities purchased to put under contract during the last 3 years. Our gross margin on the closings in these communities was approximately 200 basis points higher than the gross margin for the entire company in the fourth quarter. Outside of our traditional land acquisition activities, in late December, we expanded our operations into the Pacific Northwest through the acquisition of a portfolio of communities from Seattle-based Premier Communities. Led by Ryan McGowan, Premier has been delivering homes and developing land in the Seattle area for several decades. We now own and control approximately 855 homesites in 23 communities. These communities are ideally situated in a very tight and constrained land market. We are extremely excited with the prospects of this new operation and welcome Ryan and his team to the Lennar family. Before I turn it over to Jon Jaffe, our Chief Operating Officer, let me give you some final stats. On a year-over-year basis, our inventory increased about $300 million to approximately $4 billion and this excludes consolidated inventory not owned and an approximately $14 million investment in Seattle in the first quarter of 2012. Since the beginning of 2009 when we really started our land acquisition efforts, we've invested over $1.5 billion to purchase approximately 32,700 homesites. In addition, we have auctioned several thousand additional homesites during this period. As reflected in our industry-leading gross margins, which have increased significantly during this time period, there can be no question that we've invested wisely. At November 30, we owned and controlled 111,386 homesites and had 422 active committees. As we move through 2012, you should see a 5% to 10% increase in our community count and a continued positive contribution to our operating margins from our new investments. I'd like to thank our Lennar and Rialto associates for their hard work during 2011. I have no doubt that we have the most talented team in the business. I'd like Jon to now talk about the operations.
Jonathan M. Jaffe: Thank you, Rick, and good morning. We are very proud of the pre-impairment 21.6% gross margin and 7.8% operating margin we delivered in our fourth quarter, respectively, 80 and 110 basis point improvements. This achievement did not come about without a lot of focus and attention by management on each of the component parts of our business. I would like to speak to our company strategy on maximizing sales and margins, our intense focus on managing direct costs and our overall focus on leveraging our operating structure to reduce overhead levels. Our sales focus remains a market by market, community by community understanding of today's home-buying consumers' wants and needs. Through the execution of our Everything's Included platform, we deliver value by targeting the right product and features in every community. Each Lennar division offers home designs, square footages and included features that present a great value to the homebuyer. Lennar's Everything's Included approach is especially effective as we compete against resales by highlighting the energy-efficient, technological and quality features that demonstrate there's nothing like new when it comes to buying a home. Much of our sales strength in the fourth quarter was driven by the performance of our new communities where we are achieving a higher sales pace as compared to our legacy communities. These new communities are well located, properly positioned and priced to appeal to today's homebuyers. As Rick noted, 41% of our deliveries were from new communities. New orders from these same new communities increased from 27% of our sales in the fourth quarter of 2010 to 44% in the fourth quarter of 2011. Overall, as Stuart mentioned, we are seeing better traffic both in terms of quality and quantity, but more so from the quality perspective, representing the customer desire to make a buying decision now. While we are seeing these better patterns, we also continued to experience a very difficult mortgage approval environment, which is restricting the ability of a growing demand to become homebuyers. As the mortgage market eventually corrects itself, we expect more of this demand to be freed up. In the fourth quarter, we saw strong year-over-year sales growth in all of the Florida markets, Atlanta and North Carolina in the Southeast; Phoenix and Vegas in the Southwest; and in parts of California. There was a slight pickup in Houston but overall, Texas was relatively flat. While we don't give data on the current quarter activity, I can tell you that we saw improved year-over-year sales trends through December. And while the year-over-year improvement varies slightly by market from the fourth quarter, every one of our markets showed improvement in December from the prior year. Our management team is also very focused on the cost side of the margin equation. Our current average direct cost of homes remains around $40 per square foot. We maintained this cost level by value engineering at a more granular level than we have ever before. Our costs are broken down into detailed categories where we measure performance of these categories across all of our divisions. This, combined with detailed and effective management of the building process in the field, has allowed us to keep our costs down by over 30% from the 2006 peak. This has been accomplished this year despite various fluctuations of some materials and commodities. I want to recognize the hard work of our national and local purchasing teams along with our operating divisions for their drive in finding new solutions and implementing new processes that allow us to deliver better quality and value in the home. We have also maintained our focus on cycle time, which is down almost 30% from the peak. This represents an average build time of between 90 to 100 calendar days for single-family detached homes. We have accomplished this by working hard with our -- hard and hand in hand with our trade partners in designing and building more efficient value-engineered homes. This effort has allowed us to control our field costs and effectively manage the delivery of our inventory. We have also maintained our intense focus on management of our SG&A. Our SG&A for the fourth quarter was at 13.8%, which is the lowest level we have achieved in 5 years. This represents a 30 basis point improvement over the prior year and begins to show the opportunity to leverage our operating structure. This was accomplished despite the start-up costs associated with our new community growth, as well as the commissions associated with greater broker participation. There is an increasing trend of third-party brokers bringing their buyers to us, which we believe is evidence of the growing awareness of the ease and value of the new home purchase versus resale. Now I'll put our overhead focus into perspective. The fourth quarter spend of $112 million compares to $484 million in Q4 of 2006. As Stuart and Rick have mentioned, we have just completed our operations reviews with each of our Homebuilding divisions. Across-the-board, we have a team that is energized to execute on our strategy of maximizing sales revenue, reducing the cost of sales and delivering industry-leading operating margins. Thank you, and I'd now like to turn it over to Jeff Krasnoff.
Jeffrey P. Krasnoff: Thanks, Jon, and good morning, everyone. As Stuart mentioned in his opening remarks, Rialto is beginning to hit its stride and demonstrate its earnings capacity. Before Bruce reviews the details behind Rialto's $8 million of operating earnings along with the results of the rest of the company, there are a few areas that might be helpful to touch on to give you a little bit more perspective on what's going on at Rialto. With the backdrop of uncertainty in Europe, we've nonetheless continued to see what amounts to positive dynamics for the new deal flow in the markets in which we operate. U.S. banks are still under pressure to sell real estate assets, and the prospected foreign banks will also be shedding assets since added further downward pressure on the pricing of many opportunities especially where we believe we continue to have a competitive advantage. Therefore, the opportunity to purchase both real estate back loans and securities is as strong, if not stronger than ever. And we remain focused on evaluating. And if we can continue to price advantageously acquiring distressed portfolios, commercial mortgage-backed securities and other related assets through our current exclusive investment vehicle, the Rialto Real Estate Fund. As Stuart mentioned, during the quarter the fund had its final closing of equity commitments, bringing the total to $700 million, including the $75 million commitment from us and from over 2 dozen different investor groups. The fund has now been able to acquire or tie up a total of 28 different negotiated transactions, and our pipeline of new potential investments remains strong. This has resulted in the investment of a little over $500 million of fund equity to acquire almost $1.5 billion of assets based on unpaid principal balance, for about $0.37 on the dollar. And now with about $200 million of equity remaining to be called, we're currently focusing on bringing out our next investment fund. We believe these in future vehicles will not only help to enhance the company's returns and add consistent cash flows back to corporate, but will also be important building blocks for us to develop a first-class Investment Management business. Almost 75% of our fund investments so far have been distressed portfolios from regional and community banks, CMBS special servicers and non-bank financial institutions. The remaining investments are in new issue CMBS securities with strong current cash flows, where we have found risk-adjusted pricing dynamics unlike any we have seen since the early days of that business dating back to the mid-1990s. Our focused Rialto team of 180 strong continues to push the resolution process forward, enhanced by the well-coordinated resources of the rest of the Lennar team. Being able to integrate the unique talents of a leading nationwide residential developer and homebuilder has been and continues to be a unique advantage for us. And in turn, as part of this active collaboration led by Eric Feder who oversees our bank relationships, the Homebuilding divisions have been able to continue to capture distressed opportunities from the same institutions we have been working with on the portfolios. As you have heard, this is providing a great mechanism to generate new communities for homebuilding at extremely attractive pricing. Since we began investing in distressed assets, at the end of the first quarter of 2010 we have, as of now, collected gross over $550 million of cash, including over $120 million from the sales of real estate owned. Included as part of this, the FDIC transaction partnerships now hold over $320 million of cash on their balance sheets, including approximately $260 million earmarked to defease the $627 million of FDIC seller financing. Market uncertainty has been responsible for keeping us from having one of our most profitable quarters yet as a result of the $7.6 million unrealized loss related to our share of the mark-to-market on our PPIP fund. And for the year these marks have aggregated $21.4 million. However, these marks as required by U.S. Treasury, we believe, reflect more of the general sentiment in the marketplace related to the potential need for European banks to liquidate fixed income assets. We have not changed our view of the resilient underlying cash flows that we used to underwrite and price our PPIP investments. In fact, our PPIP fund has been actively looking to acquire additional securities. And to date, exclusive of the marks, we've already recognized approximately $23 million in interest income and fees related to our $68 million investment in and management of the fund. So these are just a few of the reasons we remain very excited about the continued progress of our Rialto franchise, our current position in the marketplace and the synergies with the rest of the Lennar team. Thank you, and I'll turn it over to Bruce.
Bruce E. Gross: Thanks, Jeff, and good morning. This is our seventh consecutive quarter of profitability, and our fourth quarter results reflect strong core operating earnings that were partially offset by Homebuilding impairments of $17.9 million and a PPIP mark-to-market that Jeff discussed. That's an unrealized loss of $7.6 million. Let me review the numbers in all 3 segments, starting with Homebuilding. Revenues from home sales increased 13% to $817 million, driven by a 10% increase in wholly owned deliveries and a 2% increase in average sales price to $243,000. The average sales price by region is as follows, and please note that we were required to change our reportable segments this quarter as noted in our press release, so you will see a new Southeast Florida region while Georgia and the Carolinas have moved from the other region to the East region. East average sales price was $221,000, up 3%; Southeast Florida was $265,000, up 1%; Central was $211,000, up 2%; Houston $228,000, up 5%; West $307,000, down 3%; and other was $339,000, down 9%. As was mentioned, our gross margin on home sales before impairments was 21.6% in the fourth quarter, which was an 80 basis point improvement compared to the prior year. In our last conference call, we provided a gross margin percentage range for the fourth quarter before impairments of 19% to 21%. We exceeded this range due to delivery of more favorable product mix of higher gross margin percentage deliveries, which includes an increasing percentage of deliveries from new communities that was mentioned, and that's now 41% of our deliveries. The gross margins were strongest in the East and the Southeast Florida regions this quarter. Sales incentives as a percentage of home sale revenue decreased 20 basis points to 12.2% in the fourth quarter versus 12.4% in the prior year. As a result of the strong gross margins that were mentioned and the improvement in SG&A that Jon discussed, our Homebuilding operating margins before impairment improved 110 basis points from the prior year to 7.8%. During the quarter, we recognized the $4.7 million net gain relating to an asset distribution from a JV. This was a linked transaction reflected on 2 income statement lines, earnings from unconsolidated entities and other income. When a joint venture determines it is disposing of assets, it needs to evaluate the assets at the lower of cost or market. As a result, the joint venture was required to book an impairment. The company's share of this joint venture impairment was $57.6 million charge. As part of the joint venture distribution, the company received assets that were fair valued above its remaining investment account balance, and that resulted in the $62.3 million gain. The impairments during the quarter on the Homebuilding side were $17.9 million, and that compares to $22.3 million in the prior year. Turning to Financial Services, that business segment generated operating earnings of $9.1 million versus $11.7 million last year. Mortgage pretax income was $9.1 million versus $11.1 million in the prior year. And during the quarter, we successfully entered into another confidential settlement with the second of the 3 large banks that purchased the vast majority of our mortgage originations. This settlement which totaled $2 million was within the accrued liability on our books for a potential mortgage put-back exposure, and we now have a remaining liability of approximately $6 million. And we are comfortable that that's adequate for any future exposure. Our title company generated $1.5 million of profits versus $1 million in the prior year. And additionally, the Financial Services result include a $1.3 million reserve for the disposition of our last remaining cable system. As Jeff mentioned, our Rialto business segment generated operating earnings totaling $8 million, and this number includes $2 million of net losses attributable to non-controlling interest. Rialto's operating earnings before the PPIP mark-to-market adjustments have showed significant improvement, growing to $15.6 million during the quarter versus $7.7 million in the prior year, netting out the prior year's PPIP mark-to-market gain. The composition of Rialto's $8 million of operating earnings by type of investment is as follows: the FDIC portfolio contribution this quarter was breakeven; the non-FDIC portfolios generated a $17.3 million gain; PPIP, net of interest income and the mark-to-market had a $4.8 million loss; and there were $2 million contributed from the Rialto Real Estate Fund. This was offset by approximately $6.4 million of general and administrative expenses, which is net of management fees and reimbursements of approximately $3.7 million. Although revenue from the FDIC portfolios were higher in the fourth quarter versus the prior year, we experienced higher expenses relating primarily to property taxes and legal expenses relating to both servicing loans and REO, resulting in the breakeven quarter for the FDIC portfolios. The $17.3 million contribution from the non-FDIC portfolios this quarter are primarily from deficiency recoveries, accretable interest income, gains upon foreclosure and sales of REO net of REO expenses. Our 15% interest in the Rialto Real Estate Fund generated approximately $2 million of profits, which is in addition to the management fees highlighted above. The $4.8 million loss during the quarter from our investment in PPIP is reported as equity and earnings from unconsolidated entities, and this loss is comprised of $7.6 million of unrealized loss due to mark-to-market adjustment, partially offset by a $2.8 million of interest income. The success of the Rialto Real Estate Fund has enabled us to grow Rialto using the third-party capital. During the quarter, the company didn't invest any new capital in the Rialto segment. Rialto continues to generate strong cash flow. And at quarter end, there was already $219 million in the defeasance cash account to retire debt, and there was an additional $84 million of cash on Rialto's balance sheet. The company recognized a tax benefit in the fourth quarter of $13.7 million relating to the favorable resolution of certain federal and state tax issues. In computing our earnings per share for the quarter, the add back for interest relating to our convertible debt is $871,000. We concluded the year with a strong liquid balance sheet. Our leverage remained low as our Homebuilding debt to total capital net of the $1 billion of cash was 46.4%. During the quarter, we paid off maturing senior notes of $113 million. There are no maturities now until 2013, and we raised $400 million of new convertible notes with a 3.25% rate and a 37.5% premium and we received $350 million of that cash in the current quarter. Shareholders equity ended the year at $2.7 billion, and that's a book value per share amount of $14.31. This book value per share does not include the fully reserved deferred tax asset which is currently at $577 million or $3.06 per outstanding share. At year end the company, with the consultation of its auditors, evaluated whether the reserve on its deferred tax asset is still needed. The relevant accounting guidance requires a very high threshold in order to conclude that the reserve is no longer needed. Although the company's strong performance and current positioning is bringing it closer to a conclusion that the reserve is no longer needed, we have concluded to defer a reversal until further evidence that the housing market recovery has been revealed. We ended 2011 with our strongest quarterly backlog growth since 2002, up 35%. This strong backlog, coupled with our focus on strong gross margin percentages, positions us for another year of profitability in 2012. Stuart indicated we are increasing our gross margin expectations for 2012 to be in a range of 19.5% to 21.5%. And as usual, our first quarter is expected to have seasonally lighter volume and gross margins at the lower end of our range, making it tougher to be profitable in the first quarter. However, we are well positioned and we are looking forward to another year of profitability throughout the remainder of 2012. And with that, let me open it up for questions.
Operator: [Operator Instructions] The first question is coming from Ivy Zelman, Zelman & Associates.
Ivy Lynne Zelman - Zelman & Associates, Research Division: You had mentioned, Stuart, some brief comments about rent inflation helping to some extent for people to reevaluate the economics as it relates to owning versus renting. Do you have any data that might support that in terms of serving the traffic cuts coming through, or people that are actually signing sales contracts that are saying they've been renters? And maybe some anecdotes that can help us understand the opportunity? Certainly there's plenty of people that arguably have been delaying purchases that might be a significant opportunity, and I just want to hear your thoughts on that, please.
Stuart A. Miller: Yes. When we talk about data, data gets a little bit convoluted. What we specifically did, Ivy, is we went out and looked at the competitive landscape relative to communities in specific markets. And we actually put together a little presentation on it that we've shared in some of our presentations and we'll probably continue to. And we've looked at the fully loaded cost of homeownership as compared with the rental rates that are in a competitive radius of communities where we are actively selling. So this is real information from real markets where we're competing. Now if you were to broaden the thought -- the radius, if you were to expand the radius, you might find that the data doesn't hold up. But in a real competitive environment at a local level, we're finding that there are 2 things at work. Number one is a value proposition, where fully loaded cost of homeownership is at or lower, and generally lower than the competitive rental communities. And then perhaps more importantly, in the more desirable areas rental prices, which reprice every 12 months, have been trending upward, anywhere from 5% to 15% on selected markets, and it is a combination of the value proposition and the notion that the cost of living expenses are going to go up, are going up and are going to continue to go up that are driving people to say, I've got to lock this expense down or it can run away from me. It is reducing my personal disposable income when wages are not rising. And so it's driving more traffic to our sales centers.
Ivy Lynne Zelman - Zelman & Associates, Research Division: Just to -- I don't want to say this is my follow up question because I'm going to save that one but just to clarify, Stuart, on your analysis, this doesn't also include the benefit assuming the mortgage interest deduction, as well as assuming you're talking comparing apartment renting to single-family ownership, just to clarify? And then I have a follow-up.
Stuart A. Miller: Okay, yes. That's a good clarification, so we won't count it as your follow-up. But we actually decidedly did not include the mortgage interest deduction because of all of the discussion out there that it could be, might be vulnerable. We wanted to take a more pure look as a consumer might look at it. Any time there's a question mark, it might be discounted. Even without the mortgage interest deduction, the comparison is favorable in many communities across the country, ownership versus renting.
Jonathan M. Jaffe: This is Jon. I would also add that seeing surveys, I don't know exactly the group survey, but in realty publications that consistently state that a very high percentage, around 70% of renters do look at homeownership in their future. And I would also just add anecdotally in select markets, I've heard from apartment owners the increasing number of the churn over going to homeownership versus other rentals.
Ivy Lynne Zelman - Zelman & Associates, Research Division: No, we've heard the same, and we did a survey like that, Jon. Maybe you're reading our survey so hopefully, that was the case. But to bring up my second question, Stuart, you've talked about the stringency of mortgage availability. Certainly, everyone recognizes that. But what I'd like you to hopefully clarify to the listeners is that mortgage credit maybe stringent, but I don't believe that there are people that were limited in terms of the pool of people that, assuming confidence comes back, that mortgages are not going to be something that would limit the number of homebuyers. In other words, you grew -- your year-over-year sales were up 20%. Assuming those people are going to close with modest cancellations, I would assume that there's no change favorably to mortgage availability, but you have more confidence that people are stepping into the market. So if I ask you in 3 years from now and you were seeing a pickup in sales activity, would you say there's a limit to how faster sales can grow because of the mortgage stringency? Or is it really more confidence that's limiting you and there's plenty of people that have higher than a 640 FICO score, or that can come up with 5% or 10% down payment, it's just a confidence issue that's really limiting it and certainly, it would help to have easier credit but it doesn't, at least the mortgage companies we talked to, doesn't limit the opportunity to see a recovery in housing?
Stuart A. Miller: Well look, I think I want to be careful not to be guided by your question. But I think that the mortgage market under all circumstances right now is choppy, and the process for mortgage approval is somewhat limiting. There are many people who don't have the qualifications. Some of the -- many of the people that don't have the qualifications are burning off the needed years between a short sale or a bankruptcy or a foreclosure to get to the point where they're allowed to get back into the mortgage market. Some of them are regenerating a good credit score. Some of them are accumulating a down payment. The qualification side of the mortgage market is difficult, it's choppy and it is somewhat limited today, but we are living in a dynamic world where that's changing. At the same time, the process has become intensely cumbersome. The request for documentation seems to be never ending. And the process, together with the qualifications, are the result of an overcorrection. That overcorrection, in my opinion, is going to find a way to burn off, that is the overcorrection is going to find a way to burn off over time. But as with any pendulum swing, it takes some time for the pendulum to find its equilibrium, and I believe it will. So with demand coming to the market in an increased measure and with the mortgage qualification market and process being somewhat stringent and limiting, I think the 2 will work together, increased demand and mortgage market reaching equilibrium. And over time, we're going to see demand really start to peak up. Now whether that's in 2012 or whether it takes more time for the markets to settle and stuff, it's yet to be seen and I don't want to opine on that. But I think that over time, we're going to see demand push through the stringency of the mortgage market.
Operator: The next question is coming from Stephen Kim, Barclays Capital.
Stephen Kim - Barclays Capital, Research Division: I also believe that you don't -- that the mortgage availability really isn't the primary impediment, that it's primarily an issue of confidence. In that vein, I was wondering if you could talk about the trends you're seeing in traffic relative to the trends that we saw in orders or you are seeing in orders? Are you seeing traffic increase at a faster rate year-over-year or however you choose to look at it relative to orders or vice versa?
Jonathan M. Jaffe: It varies slightly from market to market. But we are, I think in general, seeing traffic increase at a faster rate. But I said earlier that the biggest difference we're seeing is in a greater desire to make the buying decision as compared to prior periods in the year.
Stephen Kim - Barclays Capital, Research Division: Yes, that's really great. I guess the second question that I had relates to your subdivision count. In particular, what I'm curious about is you would think you had given guidance that community count being up roughly 5% or so in 2012 but obviously, if what you're seeing now is in fact a harbinger of an improved spring selling season? One would think that you might be tempted to tweak up your subdivision count to capture some of that volume. You having one of those stronger balance sheets in the industry will be better able to do that, one would think. So I was curious if you could give us an idea of your capacity to increase your subdivision count greater than the 5% that you mentioned?
Richard Beckwitt: Steve, it's Rick. There's no question we've got the dry powder to press it up if the opportunities are there. But as you've seen us over the last several years, we've been investing wisely. As the market starts to increase, we're going to get increased absorptions from our existing communities. We'll invest in new communities. And there's no question in my mind that if there are good deals out there, we'll find them first. With regard to community count in 2011, what I can tell you is while we did give guidance through the year that we saw community count would be up, there's a lot of communities that come in and out intra-quarter, either through auction deals where we have very little or no earnest money that you guys don't see. If they're successful, they stay on; if they're not, we move out. But most of those things still add to positive contribution on a net margin basis intra-quarter. So as we look at 2012, we gave guidance for a 5% to 10% increase. I think it'll be every bit of that, but we're going to just invest wisely throughout the year.
Operator: The next question is coming from Michael Rehaut of JPMorgan.
Michael Rehaut - JP Morgan Chase & Co, Research Division: First question. I was hoping just to get perhaps a little bit more granular on the order trends during the quarter. And it looks like absorption or sales per community actually improved 8%, 10% sequentially versus, I think, as Stuart, you said last year, fell off a little bit as is typical in 4Q versus 3Q. I was wondering if you could kind of take us through if that was driven by a couple of submarkets? Certainly there's huge order growth in Southeast Florida or the fact that as a mix basis, you have a higher percentage of newer communities. I think you said driving 44% of your orders, if that kind of picked up materially from the third quarter? Any more granularity there would be helpful.
Jeffrey P. Krasnoff: Okay. The new orders in the quarter, we indicated about 44% were coming from the new communities. But we've seen most of that success, and I think Jon got into this a bit, coming from more of the new communities that we've been opening. But it's really been throughout the quarter, a success throughout the country. It hasn't been one market that we've experienced the success.
Jonathan M. Jaffe: A little more color. I think that the areas where we saw the greatest improvement in sales from new communities, as we mentioned, was Southeast Florida, but also in central Florida and the Raleigh area, as an example. In Dallas-Fort Worth and then Texas, we saw that pickup. And Orange County, California, in Colorado, markets like that we had dramatic increases and our activity in our new communities year-over-year.
Michael Rehaut - JP Morgan Chase & Co, Research Division: Okay. I guess the second question just on the gross margins. It looks like you're kind of increasing the range that you think is possible by maybe 50 bps or more. And this quarter, you exceeded the range that you had guided to in terms of 21.6% over the 21% high end of the range. Is there any reason to think that you wouldn't be able to at least achieve the higher end of this range for fiscal '12 outside of any major mixed shift in deliveries maybe by region? Because certainly over the last couple of quarters now, you've been at that high end of the range. Any color there would be helpful, particularly as you kind of pointed to this quarter being also positively influenced by mix?
Stuart A. Miller: Well let me say this, Mike. We've given a range, and I think that that's where we're comfortable right now. There are moving parts, and we are rounding the corner to come into our first quarter. Our first quarter is always lighter volume. We have lower expectations for our first quarter, and we want to make sure that we keep everybody's perspective properly focused on the short-term and the longer-term year-end. So we are giving a range. We did throw out a couple of numbers, and I want to make sure that they're clear. 44% of our new orders came from new communities and 41% of our deliveries came from new communities. So you can see that we have a -- kind of a trend wise, new communities are increasing their representation in the flow or in the composition of our gross margin. But we recognize that our first quarter is likely to be a little bit lighter. So where will we be within that range? We're going to wait and see what the composition brings to us. But we do feel comfortable number one, with the range we put out there; and number 2, with the fact that we did bring the range up by about 50 bps.
Michael Rehaut - JP Morgan Chase & Co, Research Division: Great. One quick follow-up on the first question, if it's possible, on the community count. You were down 4% year-over-year in the fourth quarter, and you're guiding for up 5% to 10% for the full year. Would we expect that 5% to 10% to be more back-half weighted? Or should we expect more of a move in the first quarter?
Bruce E. Gross: As we announced in a press release on the Pacific Northwest, we brought in some additional communities in the Seattle area. So you'll see some community count growth as those start to build out through the year. Most of those opportunities were really land or option contracts that we got to get going in. The Seattle market's a little bit unique. They're smaller communities from an overall size standpoint, so their overall contributions as a whole will be somewhat less. But with regard to the overall year, you'll see it more in the back end half of the year and it's going to be skewed somewhat by what the opportunities are out there.
Operator: The next question is coming from David Goldberg, UBS.
Susan Maklari - UBS Investment Bank, Research Division: This is Susan on for David today. First of all, I wanted to get your thoughts around some of the recent news that we've seen regarding government efforts to support housing. A week or so ago, the fed came up with a report that suggests the government could be warming up to the idea of allowing some larger, more institutional capital to play perhaps a more meaningful role in the buy-to-rent market. Can you just kind of give us your thoughts on this, and maybe what you think it could indicate in terms of the government supporting different initiatives to help housing?
Stuart A. Miller: Well, there have -- I think that there's been more than just the discussion of the government buy-to-rent program. There's also been part 2.0 that's been out there. The most important thing to think about is the fact that the government is recognizing that stability in the housing market is important, and it's important to refocus the attention on how we enable the housing market to recover. And I think that portends good things for housing in general. Certainly, redeploying some of the idle inventory to the rental market will be helpful. It will bring less supply on the for-sale market and will enable the for-sale market to absorb the overhang of foreclosures more rapidly. It will deploy those assets into much needed rental housing. And anything that the government can do to enable the borrowing -- the borrowers out there to decide not to strategically default will help the foreclosure market begin to resolve itself as well. So our thoughts are that together with fundamental demand coming back, anything that reduces the amount of supply of foreclosure homes on the market is going to be a benefit. And the government is certainly thinking and working in that direction.
Susan Maklari - UBS Investment Bank, Research Division: And then just as a quick follow-up, I think it was Jon that mentioned your ability to maintain your direct cost over the quarter. Given the volatility we've seen in some commodities and the fact that maybe conditions are starting to stabilize a bit, are you starting to see any increased pressure from some of your suppliers to raise prices? And are you having to push back anymore on this? And talk a little bit about maybe how you're offsetting it if you are seeing any of that?
Jonathan M. Jaffe: Yes. As I mentioned, there have been impacts from certain materials or commodities. The most recent example of that, I think everyone is aware of, is drywall where there's been increases. We focus on both maintaining our cost on a material, focus item-by-item, but also on the process. And as I said, really managing the opportunities to find at a very detailed level the value and what's happening out in the field, what's happening within our cost codes item-by-item and really driving efficiencies in that regard. So it's a constant battle of managing the fluctuations in the material and commodity market with what we can do operationally to offset that and maintain a low-cost.
Operator: The next question is coming from Stephen East, Ticonderoga Securities.
Stephen F. East - Ticonderoga Securities LLC, Research Division: Stuart, you talked -- or in the press release, you all talked about incentives, and they've stayed sort of flat. If we look at that, what's a normalized level? And if we're starting to see the market recover and order trends pickup, et cetera, do you expect that to start to drop as we move through 2012? Or is that more an entrenched type process that we're going through?
Stuart A. Miller: Well look, incentives are a funny thing. On a more normalized level -- let me go back to really normalized market conditions, you're in the 5% to 10% range. And incentives are in part a composition of sale price. It's kind of a tricky thing to figure out where things actually lie. The fact is that the market is stabilizing, and the first place that we're going to see sales price regenerate itself is with the incentives. And certainly, that is stabilizing and coming down a little bit and contributing to our margins.
Stephen F. East - Ticonderoga Securities LLC, Research Division: Okay. Do you expect the incentives to back off as we move through the year?
Stuart A. Miller: Well Stephen, I have a perspective that the market is stabilizing. It's going to take some recovery for the incentives to really back off. On the one hand, I think that I feel cautiously optimistic about what is happening with the market right now and into 2012, but I don't want to get ahead of this market. It's been choppy and rocky. And so I'd say we're going to wait and see. We're going to carefully manage our business and manage the process. I can tell you that Rick and Jon are looking at incentives and sales prices every single day with every division, and that is being managed week-by-week in the field. So to the extent that the market allows it, we're going to be right on it and make sure that incentives are coming down.
Jonathan M. Jaffe: This is Jon. I would add, too, that the foreclosure environment is still out there and we compete against it. And how we position our product with incentives, without incentives, as we compete to show the new home has a value, is going to continue to sort of affect what you see in terms of incentive levels. So Stuart said you've got to be really careful and you analyze it between both sales price and incentives and how you're positioning value.
Bruce E. Gross: Steve, we're managing the business to a net price across the line or below the line. In a more normalized market, it's closing costs. We're not at that juncture right now. But as the market recovers, that's the direction that we're going to take it. It will take us a while to get there.
Stephen F. East - Ticonderoga Securities LLC, Research Division: I got you. So a lot of it's optics to get to that net price. The other thing investors, when they look at this space, they've listened to a lot of the builders talk about all right, we have a tremendous ability to ramp up our operational leverage because we're selling at 2 homes and when we get to 4, we still don't need to add people, et cetera. We're still not seeing it; we haven't really seen it in your numbers this quarter. Is there something going on this quarter on a year-over-year basis that your SG&A really didn't change? And do you expect that to start to change pretty rapidly if you start piling on 20% a quarter-type order rates?
Stuart A. Miller: Well Stephen, it's important to look right now at -- we're at a -- an interesting point, if we look back at the year 2011, we're really flat with 2010. So there's really not any real operational leverage that has been liberated at this point. As I noted in my comments, our posture has been to navigate the toughest part of this market as it looks for a recovery and to remain marginally profitable as we stay patient. And so the operational leverage that we and other builders have talked about has not yet presented itself. The movement from 1 to 1.5 to 2 sales to 4 sales per community per month will present itself and present itself, I think, very decidedly when we start to see real recovery in the marketplace. And we're just not quite there yet. So looking back at 2011, we're kind of flat. As we start to see volumes jump up, those volumes should have an embedded operational leverage in them.
Stephen F. East - Ticonderoga Securities LLC, Research Division: Okay. If I can sneak in one quick one, on the PPIP, the mark-to-market, are these securities typically held to maturity?
Jeffrey P. Krasnoff: Yes. I mean, that was the plan, Stephen. When we buy them, we really look to what the cash flows look like over the life. And clearly, if there's an opportunity over the life to sell them and to maximize value at some point between now and that maturity, we would do it. But that's really -- when we went into it that was how we looked at it. And by the way, with that said, it's why -- we're not big on recasting our numbers, but we think it's important to look at the Rialto earnings machine without the PPIP either contribution or detraction because it's a clearer picture of what's really happening in Rialto.
Operator: The next question is coming from Nishu Sood from Deutsche Bank.
Rob Hansen - Deutsche Bank AG, Research Division: This is Rob Hansen on for Nishu. So you mentioned that the affordability decision has been kind of driving the new home purchases lately. And where have you seen this come through in terms of your product line? And I guess really what we're trying to get at is have you seen the kind of less seasonal first-time buyer come back? And is that what kind of helped you put up a very pretty solid order number this quarter?
Bruce E. Gross: It's really been across the entire universe of the product line. We've seen increased traffic at the entry-level, first-time buyer. We've seen a pick up clearly in that mid-market, and some of our higher-end product has been performing pretty well. Stuart talked a little bit earlier about this value proposition change between the rental world and the for-sale world, and we've seen some evidence that is beyond the surveys. In our traditional marketing approaches, we do eBlaster emails targeted at the rental world with door flyers. And when we do that, we see traffic coming because people are understanding that the overall ownership equation versus the rental equation pencils out. So it's really across the price for a second.
Rob Hansen - Deutsche Bank AG, Research Division: Okay. And then, yes, on some of your kind of interesting marketing initiatives, we noticed on your website that you have a section that is devoted entirely to people who've been through a foreclosure before. I mean, are you seeing a meaningful amount of traffic from this group? And I would assume it's probably a little too early for that group to start buying, but yes, I mean how much of the traffic comes from this area?
Stuart A. Miller: You really have 3 different types of people. You have people who have gone through the short sale process. They are generally taken out of the market for 2 years. You have people that have gone through a foreclosure. They are generally taken out of the market for 3 years. And then you have people who have gone through a bankruptcy, and they're taken out of the market for generally 6 or 7 years. Is it 6 or 7, Jon?
Jonathan M. Jaffe: Seven.
Stuart A. Miller: Seven. Okay. So you have a sizable group of people across the country that have gone through a short sale process or foreclosure that are starting to come around the corner and reenter the market. And even if they're not actually in the market or the time hasn't quite lapsed, they are preparing to look at getting back in the market. They are preparing their credit and their down payment because they don't want to be vulnerable to the 12-month repricing that you get in the rental world. And that is what we're seeing out there, and they are active participants.
Jonathan M. Jaffe: Just for clarity, this is Jon, that site and our social media effort focuses on renters who also didn't go through that distress but either made the active choice to rent for a period of time or just have credit issues that don't necessarily derive out of the short sale or foreclosure but just have to deal with their particular debt situation, or the situation just needing to save for down payments. So we're trying to communicate and reach out in an effective way to people who are interested in homeownership, and we help and guide them how to get there.
Operator: The next question is coming from Bob Wetenhall of RBC.
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: Your ASPs are up $5,000 and your incentives are up only $200 year-over-year. This is obviously a very favorable trend, and I just wanted to see if you think this trend is expected to accelerate as you move into the spring selling season.
Bruce E. Gross: As we said, we're really managing towards a net price depending on the product, the division, the market, the community. Each one of these -- each one of our homes are incentivized to sell in order to maximize margin. We gave a little bit of color with regard to what our go-forward margin expectations in there. To some degree, our price expectations on sales prices are reflected in that increased range.
Jonathan M. Jaffe: This is Jon. As Stuart said earlier, I think we're going to have to wait and see what the trend delivers to us and how sales volume materializes. If we do see increased absorptions, we would expect that trend to continue. But if we see a leveling off, then you'd expect flatness. And that really is a result of that level of activity.
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: Understood. Just turning to your SG&A spending, I think you were at $120 million in 2009 and then subsequently, you've brought that under $100 million in each of the last 2 years. Given your expectations for stronger volumes, are you still going to be able to keep SG&A close to $100 million next year? Or do you expect that's going to go back towards the $120 million number?
Jeffrey P. Krasnoff: Well, it depends on the volume that we're going to see. So you're talking about the SG&A line, it's really dependent on the volume, Bob, that we're going to accomplish and how many new communities that we're going to be opening up.
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: Got it. And if I could sneak one in, would it be reasonable to look for Rialto to, given the attractive backlog you have, to contribute somewhere north of $50 million next year? Is that a reasonable number to use? Trying to understand how much visibility you guys have into that.
Jeffrey P. Krasnoff: Yes. We haven't given any numbers. You note the last 2 quarters, if you strip out the PPIP, we're around $15 million. But we haven't given any projections because the timing of some of the sales and collections from the borrowers doesn't necessarily come in where you could schedule it perfectly. So we'll have to wait and see. We haven't actually given a number out yet, Bob.
Stuart A. Miller: And with that said, I don't want to diminish the fact that we are seeing -- and I think that we've highlighted for you that we're starting to see real strength in earnings from the Rialto machine. And we look forward to good performance as we go forward.
Robert C. Wetenhall - RBC Capital Markets, LLC, Research Division: But at the bare minimum, this -- the trends you're seeing now with Rialto, it looks like it's sustainable into next year.
Jeffrey P. Krasnoff: We're enthusiastic about Rialto's prospects as we move ahead.
Operator: The next question is coming from Dan Oppenheim, Credit Suisse.
Daniel Oppenheim - Crédit Suisse AG, Research Division: Just wondering, when you're talking about the market and such, you're talking about a lot of buyers that have worked through foreclosures. How do you -- as you look ahead, how do you think about that in terms of a lot of foreclosures that have yet to come to market and stuck in the process? Do you have any worries about that, especially in Florida where it's been a pretty gradual process there? How are you thinking about?
Stuart A. Miller: Well as I've noted, the foreclosure world, when looked at in a somewhat broader perspective, gets clouded by good markets, the best markets, good markets and not such good markets. And in the markets where we are targeting and where we are making our purchases, and I think Rick did a good job of highlighting our strategy that is decidedly away from areas where there are foreclosures to be had, our markets are generally focused on areas where the foreclosure and even the delinquency backlog had basically been absorbed because they are the more desirable areas to be purchasing. And so even where -- you might think that foreclosures have not yet been completely resolved. In order for a home to get to a foreclosure, it's got to either not be salable at a price that can be realized or properly pay off the mortgage, or at a price where a bank won't accept the short sale. In the more desirable areas, short sales are taking place to -- as an intervention method before you get to a foreclosure. So in those markets, you've seen a lot of clearing, and we think the overhang is not nearly as severe. Okay. Well, we appreciate everybody's attention on our 2011 review. We look forward to giving you more color as we go forward into 2012. Thanks for your attention.
Operator: This would conclude today's conference. All parties may disconnect at this time.